Operator: Good afternoon, and thank you for participating in today's conference call. Now I will turn the call over to Bruce Davis, Chairman and CEO of Digimarc. Mr. Davis, please proceed.
Bruce Davis: Thank you. Good afternoon. Welcome to our conference call. Charles Beck, our CFO, is with me. On the call today, we will review Q1 financial results, discuss significant business developments and market conditions and provide an update on execution of strategy. We will archive this webcast and have also posted our prepared remarks for today's conference call in the Investor Relations section of our website. Please note that during the course of this call, we will be making certain forward-looking statements, including those regarding revenue recognition matters, results of operations, investments, initiatives, perspectives on business partners, customers, prospects, industry trends and growth strategies. Additional forward-looking statements are identified in the prepared remarks we filed with the SEC and posted on our website under the heading Safe Harbor Statement. We also will discuss from time to time information provided to us by our channel partners and actual and potential customers about their business activities. We are providing this information as we understand it was represented to us. We do not verify nor vouch for such information. Such forward-looking statements and statements of our partners and customers are subject to many assumptions, risks, uncertainties and changes in circumstances. Any assumptions we share about future performance represent a point in time estimate. Actual results may vary materially from those expressed or implied by such statements. We expressly disclaim any obligation to revise or update any assumptions, projections or other forward-looking statements to reflect events or circumstances that may arise after the date of this conference call. For more information about risk factors that may cause actual results to differ from expectations, please see the company's filings with the SEC, including the Form 10-Q that we expect to file shortly. Any links included in this presentation are provided for general information and context only. The content referenced is not incorporated by reference and you should not be considered as part of this presentation. We do not verify nor vouch for such information. Q1 is always a bit odd in terms of updates. We do a major update at Needham in mid-January, followed by our Q4 earnings call in mid-February. This year, we added a Capital Markets Day presentation on March 11. Despite the near-monthly cadence of reports, we have much to discuss. As we did for the last call, we provided our prepared remarks in advance, given the positive feedback we received. We welcome any additional suggestions for improving our updates. Charles will now comment on our financial results, then I will discuss significant business developments, market conditions and execution strategy. Charles?
Charles Beck: Thanks, Bruce. Good afternoon, everyone. Q1 revenue was $5.7 million compared to $5.6 million in the first quarter of last year. The increase in revenue was due to higher service revenue reflecting the timing of project work with the Central Banks and higher Discover and Barcode revenue, reflecting the growth in bookings over the last 4 quarters partially offset by lower Guardian revenue. Q1 Discover and Barcode bookings were 60% higher than the first quarter last year at $800,000 versus $500,000. As a reminder, we define bookings as the non-cancelable fixed value of contract. Bookings, thus far, in Q2 exceed $800,000 compared to $200,000 for the entire quarter last year. We will continue to experience lumpiness in quarterly bookings due to natural variations in timing and provisions of contracts during early market development and expansion into adjacencies. Gross margin for the quarter was 62%, up from 61% last year, reflecting higher revenue and lower costs. Operating expenses increased by 3.5% from Q1 last year, reflecting the impact of annual compensation adjustments for our employees. We've kept headcount relatively flat over the last 5 quarters and plan to continue this trend until we see significant top line growth. Net loss for Q1 was $8.5 million or $0.74 per diluted share versus a net loss of $8.1 million or $0.72 per diluted share in the first quarter last year, reflecting slightly higher operating expenses. We invested $6.2 million of working capital during Q1, which was in the middle of the range of $6 million to $6.5 million we provided on our last call. We used $5.5 million to fund operations and $300,000 for capital expenditures. We ended the quarter with $37.5 million in cash and marketable securities. We have entered into a multiyear contract with Wal-Mart. The contract is a Statement of Work under our existing Master Services Agreement. The SOW is program specific, covering private brand enhancement and thermal-label products. It is limited to Wal-Mart stores in the U.S. only. The agreement is effective immediately and has unlimited duration, subject to termination for convenience by Wal-Mart. The SOW has an annual fixed fee of $3 million per year. Given the termination for convenience provision, we will book $750,000 each quarter. The first quarterly payment under the contract is reflected in the bookings number I just reported for April. From a financial perspective, Wal-Mart represents a small share of the addressable market given how we price access to our platform. Obviously, their potential contributions to cross-side network effects is much more significant. We view successful implementation of these programs as a starting point for large-scale enterprise transformation made possible by our platform. We look forward to a long successful relationship with the world leader in retail. We anticipate cash usage will be between $6 million to $7 million in the second quarter. For further discussion of our financial results and risks and prospects for our business, please see our Form 10-K that we expect to file shortly. Bruce will now provide his comments on significant business developments, market conditions and execution of strategy.
Bruce Davis: Thanks, Charles. Students of our strategy will recognize yesterday's announcement as a monumental accomplishment on our path to globalization of the Intuitive Computing Platform. It's the tipping point we've been waiting for. Yet it does not stand alone in the accomplishments thus far this year and the exciting plans we have for advancing execution of strategy and delivering value to shareholders. Our multiyear investment in Wal-Mart has paid off. There are three parallel programs underway. Our entry point was with private brand products. We have matured our tools and processes to the point where we can support Wal-Mart's scale and quality requirements, allowing private brands to move from pilot to scale production. There's another initiative involving many of Wal-Mart's leading product suppliers to deliver hundreds of national brands SKUs to stores during 2019. There are currently seven confirmed participants in the program, including 3 of the top 10 CPGs in the world, per the list I provided at Needham. The goal is to have hundreds of products from these suppliers on shelf in the second half of the year to test and learn regarding several store operations and marketing benefits to Wal-Mart and its suppliers. We think that this measured approach of voluntary participation is a smart choice to encourage industry participation. The program will serve as a demonstration vehicle for Wal-Mart and suppliers about the requirements and rewards of adoption of our Intuitive Computing Platform and inform broader industry participation. As our recent press release indicated, we have worked with Wal-Mart on some remarkable advancements in our enhancement of fresh product labels. Our initial development focus was on improving ease and reliability of scanning labels that may have been degraded due to print head wear, crinkling, smudging, wrapping around edges or fraudulent alterations that are common in the normal course store operations. These common degradations contribute to product shrinkage, additional associate labor, lower inventory accuracy and suboptimal customer experiences. Digimarc Barcode for Fresh Product Thermal Labels makes scanning more reliable and efficient, saves time, reduces cost, helps to record more accurate inventory data and provides a better customer experience. Additional benefits were identified during our testing and development regarding reduction of food waste, a huge financial and societal issue. Although some of the details of implementation should remain confidential for now, our latest generation of enhanced thermal labels, being implemented first with Wal-Mart, are designed to reduce waste and improve store operations, while delivering a customer-first experience. Extended data in the Digimarc Barcode enables an improved markdown process to reduce waste while providing great margins for value-conscious customers. This program coalesces efforts to benefit society with Wal-Mart's dedication to everyday low prices. The program is quite extraordinary, as it aims to increase profits, reduce waste and offer unprecedented low everyday prices simultaneously. As a technical matter, this will be the first implementation of dynamic pricing in physical retail, leveling the playing field on an important competitive differentiation between physical stores and online retail where dynamic pricing is commonplace. Pilots of Digimarc Barcode for Thermal Labels are continuing with Wegmans and New Seasons. A third pilot has begun. Another retailer is transitioning from pilot to production. There are several more retailers in the queue. We expect a significant acceleration in demand based on the Wal-Mart announcement and other developments. As execution of strategy in market development moves through its predictable stages, we are transitioning from demand generation, technical proofs and readiness assessment, to execution and delivery. Achieving excellence in delivery and support is our next operational milestone. We are applying lessons learned from Wegmans and New Seasons; and more recently, our first significant European retail customer. Careful orchestration of supply chain participants is the key to success. Strong sponsorship from the retail clients is necessary to create focus and openness to direction from Digimarc. We believe we have this support in the Wal-Mart programs. The portfolio of platform benefits for retail has expanded from faster, easier checkout, with more accurate point-of-sale data, to reducing theft and waste and improving on-shelf inventory management. The benefits for CPG, which began with more intuitive and reliable consumer engagement, have grown to include feature development in track and trace, warehouse operations, logistics, manufacturing quality, counterfeit deterrence, product diversion mitigation and recycling. More than 800 products have been enhanced for our first -- for our initial European retail customer. General industry awareness of these developments has fueled increased interest among other leading European retailers who are now in the sales pipeline. We have begun planning for a thermal label launch in Europe later this year. There are several retail opportunities in engagement and assessment phases in Japan. Most of the retail opportunities are gated by firmware optimizations for certain local market scanners and by our limited resources. We expect relevant firmware deliveries in the second half of the year. Resource contention continues to inhibit progress. We are exploring means of mitigation. Our most important trade shows occur in Q1: NRF, EuroCIS, Retailtech Japan and London Book Fair. We experienced robust gains in traffic at all shows, evidencing growing awareness and interest in our platform. Our follow-up is focused and prioritized, consistent with our conscientious working capital management. Our work with the GS1 Global standard, known as GS1 Digital Link, published in May 2018, is facilitating progress toward globalization. We recently made our first presentation regarding IP to that workgroup, noting our long history in connecting data carriers to Internet destinations and services. Per my discussion at Capital Markets Day, our resolver capabilities are an asset that is not well understood by the public equity market that may deliver significant shareholder value over time for its relevance to IoT systems based on auto identification. We are advancing towards standardization at a measured pace. Standardization is a critical element of our efforts to be recognized as the logical successor to visible data carriers. We are providing our draft platform specifications to several relevant third parties and have scheduled an introductory session in the fall with the Barcode Symbol Working Group of ISO, the International Organization for Standardization. We will be announcing new features of our quality management system at InfoFlex 2019 next week. It is increasingly likely that the next big area of opportunity for our platform is in plastics recycling. Last week, we announced that we have signed the Ellen MacArthur Foundation’s New Plastics Economy Global Commitment. The commitment evidences our heightened awareness of the scope of the plastics problem and our relevance to finding solutions. Digimarc Barcode offers the potential to more accurately identify plastics and other recyclables by enhancing the substrates, labels and shrink sleeves of plastic packaging to contain multi-application unique identifiers. In addition, Digimarc Barcode can be used to create a unique identity in the texture of the plastics material itself through the molding and engraving processes. Our Intuitive Computing Platform can help in many ways throughout the life cycle of plastic packaging to facilitate the ideals of the Circular Economy vision of the foundation. As our announcement indicated, we are participating in a growing number of activities in the space. Perhaps the highest visibility activity for Digimarc is the Holy Grail Project, an initiative driven by the Ellen MacArthur Foundation's New Plastics Economy and led by Procter & Gamble. That project aims to develop an industry-wide system that leverages technology to simplify the sorting of packaging waste through using a barcode of recycling. The Holy Grail team is expected to issue an executive summary on May 22. Their work has focused on means to identify different kinds of plastics in recycling. The primary candidates are chemical tracers and digital watermarking. Phase 1 of the final testing happened on April 25. Several members of our technical staff participated. Final tests are scheduled for May 16. Our understanding is that the results of these tests will not be made public. We were pleased with our performance in the first round of testing. At this point, I expect the Holy Grail report will provide favorable recommendations for both chemical tracers and digital watermarking, laying foundation for discussions to the path to commercialization. Participants in the process appreciate the many advantages of digital watermarking over the tracers. There's an increasing sense of urgency. Accurate sorting of plastic waste is critical to meet the EU's 2025 target of 50% recycled plastic. Digimarc Barcode addresses key challenges, including food versus nonfood items, compostable items, full-body sleeves, new materials and composites. We offer many advantages: Unlike chemical tracers, Digimarc Barcode has no environmental impact or any requirement for removal before reuse of materials. There's a relatively small number of tracers available. The number of Digimarc Barcode is effectively unlimited. Digimarc Barcode benefits the entire packaging life cycle while tracers are single purpose. At the request of the Holy Grail team and other key stakeholders, we are increasing our participation and have begun the process of laying a foundation for commercialization of recycling applications based on our platform. Our team has been socializing a detailed proposal for next steps, assuming a favorable recommendation from the project team. Commercialization will take some time, but it seems likely that significant value creation opportunity will emerge if, as I expect, we receive a favorable recommendation by the project team. Members of the team include many industry leaders, including P&G, Nestlé, Danone, L’Oréal, PepsiCo, and Carrefour and global waste management companies along with leading recycling equipment suppliers. Thus, those making the recommendations are the key implementers of any proposed solution. The growing number of public pronouncements by industry leaders and associations evidence an intent to move forward, even without regulatory requirements. Nevertheless, given the seriousness of the ecological and societal problems that have been identified, legislative mandates seem likely. As I noted in my Capital Markets Day presentation, there are already regulatory incentives and penalties in play that we believe we can affect. The addressable market for application serving the Circular Economy is very large. As you know, we charge $50 per SKU per year for basic barcode implementations. However, you may not be aware that we charge $125 or more per label per year for extended payload implementations in packaging, for instance, to support manufacturing quality control. We have not tried to identify how many hundreds of millions of barcoded products contain plastic, but I think a fair assumption would be that the price of enhancing such products, including label, ink or shrink plus substrate will be at least as much as we charge for extended payload implementations. There are also likely to be software and service opportunities to support applications like recycling. All of this is tentative and subject to price discovery and negotiation. In any event, the revenue potential seems quite large. Our ideal is to license IP to suppliers, maximizing margins and minimizing at-risk capital investment. We have begun exploring such opportunities. Plastic recycling is one of many market opportunities generally not contemplated or appreciated by analysts and the investment community. Recycling is a new large application market for our platform, representing another multisided platform on the surface of the geodesics spherical model that I articulated at Capital Markets Day. Although distinct from our initial retail focus, it is highly synergistic. As with the development we have engaged in for retail and CPGs, it will take time and investment to reap rewards. I will keep you informed as we construct our strategy for exploiting this adjacency to our current focus. Although not all the details are evident yet, it is clearly a large-scale financial opportunity. It has important strategic value as well, in extending the benefits and value proposition of our platform, from initial manufacturing through retail and reorder, to recycling, demonstrating value at every stage in the package journey, packaging being just one form of media that can be enhanced by the Barcode of Everything. Some shareholders noticed an article about our work in Canada on cannabis packaging. This is an early-stage project that is not yet ripe for extensive discussion. On the other hand, improvements in the live plant supply chain and consumer engagement are further along, as WestRock is engaging prospective customers with Digimarc-enhanced plastics and labels. I think this is a big opportunity, again, not generally anticipated nor modeled in the public equity market. We're also seeing a growing interest in audio watermarking for authentication. Advances in technology are undermining the trustworthiness of all media, affecting media relied upon for decisions of great importance to society and the economy. Digimarc Barcode is uniquely qualified to help. In our last call, I noted that our priorities for 2019 are to move the market leaders to levels of implementation where they will influence the rest of the market to adopt, which I have theorized will accelerate growth in bookings and revenues. I believe we have reached that tipping point in retail. I hope that our announcement with Wal-Mart, coupled with our previously disclosed work with other industry leaders, has mitigated concerns about when inflection points will occur and the adequacy of our working capital to sustain us until now. We are there. Now our focus is on excellence in delivery. We already have more demand than we can satisfy. Now we will have more. We have made great strides in orchestrating customer and supplier resources to accommodate our new data carrier in mission critical, highly managed aspects of complex supply chains. We will now obsess about delivering with quality at scale, contributing to the foundation that we have been investing in for globalization and broader application of the platform. The financial and operational leverage from these investments will be evident in our work in plastics recycling that I've discussed earlier in the call and in other applications I expect you'll learn about later this year. In order to continue to effectively develop the platform, we will strive for greater efficiency by focusing customers on commercial off-the-shelf offerings and charging fair prices for customization, experimentation and account-specific problem-solving. Our progress with Wal-Mart will give us more discretion in prioritizing opportunities and strengthen our hand in negotiating fair deals to do such things. I have witnessed the powerful influence that industry leaders have on suppliers and competitors. We are entering the phase of delivering value at scale to these leaders, aligned with industry-leading suppliers. We will now see first-hand the indirect group network effects of industry leaders' successful adoption of the platform. The tipping point to great value creation for our business is a function of achieving critical mass into the platform or sufficiently powerful side network effects to aggregate users that provide incentives for more users to join on each side. We are making great progress in fostering these network effects. Reliable, efficient identification of media is a critical element of progress in the digital age for so many industries, in so many ways. I am confident we will succeed. I noted in the last couple of calls that acceleration of growth would be heavily influenced by the pace and outcome of pending contract negotiations with certain customers and prospects. Those negotiations have been successful. We have invested well and achieved all the goals that I set at inception of development of the market for use of our platform for retail and CPGs. We are now growing our business with the world's largest retailers and CPGs after developing a suite of initial applications and fostering an application developer community that will amplify the value of the platform. We have put in place multiple sources of supply for key benefits of the platform, including many world leaders. And we have garnered industry and government support for our platform. Geographic limitations are artifacts of working capital constraints and a measured approach to refining our technology and business model. All the pieces are in place to scale the platform globally and to additional media and markets, delivering on the vision of the Barcode of Everything. Our announcement yesterday is the culmination of extraordinary execution of a clearly articulated market development strategy by our talented, skilled and dedicated employees. It is the primary tipping point contemplated by our strategy. Our attention turns now to excellent delivery of value as a model for industry development. I held the Capital Markets Day to do my best to inform and educate investors and analysts about assets we have developed, our strategies and tactics for developing markets and the business and financial models for value realization from the investments. We will continue to assess the suitability of the public equity market to fuel our growth as we execute the next stage of evolution of our platform. We will seek working capital elsewhere, as needed, unless and until fair value is realized in the public market. Even if we can finance the business in the public market while providing superior returns to shareholders, there are virtues, at this point in execution of strategy, to develop partnerships with one or more IT industry leaders. So my work there will continue in any event. The Wal-Mart contract signals achievement of one of the key milestones of our strategy. It is a multi-million dollar annuity with the world's largest retailer that has unlimited duration yet limited geographic and product scope. There are three parallel initiatives underway: private brands, fresh products and national brands. Good work in these areas will lead to more opportunity. The key supplier program represents a proving ground and on-ramp for CPG adoption of the platform more generally. Our current generation of fresh product labels enables dynamic pricing in physical retail, offering means to reduce food waste, provide unprecedented low prices to value-conscious customers and increase profits, simultaneously. The recycling initiative bookends manufacturing quality control in demonstrating the extraordinary full product life cycle support that our platform can provide to consumer product manufacturers. We are resource-constrained in serving existing demand. We expect demand to increase significantly. Thus, strategic financing remains attractive. In closing, as Mr. McGuire counseled young Benjamin Braddock in the movie The Graduate, Mr. McGuire says, I want to say one word to you, just one word. Benjamin: Yes, sir. Mr. McGuire: Are you listening? Benjamin: Yes, I am. Mr. McGuire: Plastics. Benjamin: Exactly what do you mean? Mr. McGuire: There's a great future in plastics. Think about it. Will you think about it? Well, we'll have more to say on the subject as the year progresses. That's it for our prepared remarks. And I will open the floor to questions.
Operator: Thank you, sir. [Operator instructions] And our first question is from the line of Josh Nichols.
Michael Nichols: Hi, thanks for taking my question, and congratulations on the Wal-Mart news. I know it's been a long time in the making. Any additional details you could provide as far as exclusivity? Could you roll this offer now to other players in the space as well? Opportunities for expansion internationally or pricing? Is it just at a unit level or store level or just an overall broad-based U.S. license?
Bruce Davis: So we will be offering our fresh product labels to everyone. And so the industry will enjoy the benefits that I've described. Our agreement with Wal-Mart is an annual fixed fee agreement with the geographic and product scope that I described in my remarks. I think that answers all your questions, Josh.
Michael Nichols: Yes. And I did want to ask, as far as for the opportunity on the recycling, you think that you mentioned in the prepared remarks that maybe one of the biggest opportunities. What do you think that could happen -- what do you think are some of the biggest near-term catalyst that could happen that could really accelerate the pace of adoption on that front? I know you mentioned you signing the Ellen MacArthur Foundation. Is there anything else that you think could be a big catalyst near term?
Bruce Davis: Yes, yes. The upcoming executive summary to be provided by the project team is the conclusion of their research on means of improving recycling. That will be followed naturally by developing the commercial model and means of execution for implementing their recommendations. And we have already begun the discussions with the key stakeholders as to how that might proceed. The primary catalyst that is quite easy to diligence is the enormous human cry and overwhelming evidence of the plastics crisis facing the world. And I won't go into them in this call. There's no time to do that. But there's great danger in continuing unabated with the production of plastic. And so the European Union is very motivated and educated, and I think ready to take the global lead in whatever government involvement is necessary. But the industry appreciates that. If they don't want to be told what to do with the force of law behind it, they need to get going really quickly to forestall those regulatory initiatives that they're going to. So everybody is highly motivated and move very quickly.
Michael Nichols: Thanks. And then last question for me. I know Sunrise Technologies and Kroger was one opportunity that you mentioned that the company was also excited about looking to 2019. Any high-level details you can provide on that as far as progress?
Bruce Davis: Well, we're engaged, at this point, with a lot of retailers and a lot of CPGs. So unless and until there's a joint sort of permission to announce details, we won't. So yes, we remain faithful to the ideals of supplier here that the customer will tell us what to disclose. In the case of Kroger, I don't believe we have anything that we have disclosed or will disclose. So I think you're confusing one of my remarks about Kroger having a technology export initiative and Sunrise Technologies with us doing business with them. We know who they are, they know who we are. So I'm not denying a mutual knowledge here, but I don't believe we announced that we're doing anything with them previously.
Michael Nichols: Well, congratulations again, and I’ll jump in the queue.
Bruce Davis: Yeah, thanks.
Operator: And our next question is from the line of Jim Ricchiuti. Please proceed
James Ricchiuti: Hi, good afternoon. I'll add my congratulations on the announcement yesterday. Bruce, is there anything you can say with respect to how many stores this could be rolled out initially? I mean we know how many stores Wal-Mart has in the U.S., but is there any way you can give us a sense as to how this could roll out?
Bruce Davis: Yes. 4,700. All of them.
James Ricchiuti: I missed that. 4,700 over what time frame?
Bruce Davis: ASAP. So the nature of our agreement with Wal-Mart is such that they have an economic incentive to move as quickly as possible until the fullest possible deployment. So we're going to move as quickly as possible is all I can say. This is not a test.
James Ricchiuti: And is it -- can you say how many SKUs this would comprise in each of these stores?
Bruce Davis: Their private brand packaged goods for general merchandise and selected SKUs from the growing number of participating national brands and all their fresh product labels.
James Ricchiuti: Okay. It sounds like a lot, but you can't really provide a number to us?
Bruce Davis: No. A number is not actually relevant, I think, to the financial analysis. It's a fixed fee contract.
James Ricchiuti: No. I understand that. I was just curious how it's going to be deployed in the stores. I saw that the terms of this. The other question I have is, is this going to be done in tandem with traditional barcoding and then that will be phased out? I'm trying to understand how this is also going to be deployed by Wal-Mart and maybe you can say or maybe you can't.
Bruce Davis: Yes. I can't. As I alluded to in my prepared remarks, there are some aspects of this that will remain confidential for a while. And so I really can't really provide implementation details at this stage.
James Ricchiuti: Okay. So you got a lot of irons in the fire. And some of them, like the European recycling project program that you're pursuing could be very sizable. If we think about all of the various projects, and let's put aside this really nice win that you've had with Wal-Mart, put that aside for a second and look at some of the other projects that you're working with, including this European retail customer on private label. Can you say or give us a sense which of those have the potential to have some more immediate financial impact?
Bruce Davis: Well, it depends on the definition of immediate. So...
James Ricchiuti: Give us time frame, a year?
Bruce Davis: Yes. Within a year, yes. I think all of them can have impact within a year. I was thinking you were thinking next couple of quarters. Obviously, we just announced this major relationship with Wal-Mart. We're going to be a bit obsessed with that for the near term. And then we will have the amplification of the side -- cross-side network effects that I hypothesized, I'm sure. And that's why I said, demand is going to grow rapidly but then that demand is going to be translated into agreements and programs and staffing and so forth. The model of the platform is a highly operationally leverage-able model. That is that we've been investing a lot of money in the last four years in building out capabilities of the suppliers. So in the mature state of the delivery of the platform, the suppliers will do more work than they have been doing and they're in the process of doing more work. And it's not uniform. So some are doing more than others. And so we're doing more work now on most accounts than I believe we will do in the long run with any accounts. And that the basic model of the business is an IP licensing model, okay? And the closest analogy is the one I used in Capital Markets Day, it will be Qualcomm. So we'll do some things ourselves because they foster IP development but the core of the business will be a platform licensing business. So as more opportunity surprises everybody in the public market, it doesn't mean that we have to resource those projects significantly, necessarily. It depends on whether we can find motivated partners who can serve those opportunities and send us money.
James Ricchiuti: So again, going back to, let's call it, a year time frame, could there be somewhere between 4 and 6 customers over the course of the year as you look out, customers that you potentially are working with that could begin to generate relatively meaningful revenues to your business?
Bruce Davis: Yes. I'll use as an example, Jim, one that we've already proven the business model for. So our Central Bank business is managed by a group of Central Banks. And so they provide a governance structure for our work there. And you know from the publicly available financial information, it's about $13 million a year or so today. And it's in its 22nd year -- 26th year. So we could apply a model like that to recycling, for instance, okay? If some key stakeholders were to inform a governing body, the governing body then would pay us. The governing body would administer the application of the platform to the problem, okay? So in that case, we could get significant revenue pretty quickly, and actually profitable revenue pretty quickly. We have discussed those models with some key stakeholders. I'm not saying, it's going to end up that way yet, but that's a for instance in answer to your question, yes, we certainly could develop significant revenue during that time period with an adjacency, not even with the core market. So in the core market, of course, we could add more customers and more applications and enable more suppliers. And we have work going on overseas in foreign territories. I don't talk about through suppliers because it's not yet material. But as we continue to develop the supplier capability to deliver, globalization becomes more real in terms of financial performance, and that globalization biz is highly financially and operationally leveraged through the use of trained, equipped suppliers to deliver.
James Ricchiuti: That's helpful. And you've been fairly good stewards of working capital. And I'm curious now, now that you have the flexibility perhaps to put more resources into the development of the market and you've got a line of sight into some revenues each quarter, is there some thoughts maybe stepping up the investment to drive adoption a little bit faster? Or do you feel you don't have to do it?
Bruce Davis: It's a question, Jim, largely of cost of capital. I put a stake in the ground at Capital Markets Day that I didn't like the way things have been going, okay? And so if we have ready access to capital at good prices, I think we can accelerate the development of the value of the company considerably. I think that we're constraining it through constraint spending. Constrained spending, in order to get to the point where I get better pricing, and that's why I will not lay off at all on looking at alternative sources of capital or I think I might get better prices or more value with the capital because we have enormous opportunities facing us here. We are not at all lacking for opportunity. We're lacking for resources, but we understand it and everyone on the call, I'm sure, understands why we've done what we've done. I think it's been a responsible approach to market development in which I hope everybody makes up very well and they should. So that's the -- it's a little bit of a complicated answer to your question, but it is the honest answer, which is we're capital constrained against demand right now. We're not lacking for demand.
James Ricchiuti: Okay, thanks very much.
Operator: And our next question is from the line of Robin Knipp [ph]. Please proceed.
Unidentified Analyst: Thanks for taking the call, Bruce. And in light of your prepared remarks on the cannabis space, I'm going to table that question for a future point of time. But I do have different question. At the Capital Markets Day, you said there was a marquee retailer that was rolling out this quarter that may receive preferential pricing and it would now appear that's Wal-Mart. Is it still fair for us to assume that the thermal label pricing should range from $2,400 to $7,200 per store per year for the rest of the market?
Bruce Davis: It's subject to proof. So early adopters will generally get better terms than late adopters. What we gave you is our price list, and so we think that those are fair prices. And I would expect that later adopters are going to be pretty close to those prices. Early adopters still might get some advantage. Now in the case of the agreement that we're talking about today, obviously, there is great consideration being received by our company in addition to the money. I feel very good about the discount, that is obvious here. But those who follow later shouldn't expect to get such favorable treatment.
Unidentified Analyst: Understood. And I guess just as a follow-up, in general, on the cannabis market, is this something we could expect to hear more in the next 1 to 2 quarters, you think?
Bruce Davis: It depends on the regulatory authorities, largely. They're not known for rapid entrepreneurial performance, so we'll see. Yes, I think we can help but the cannabis packaging discussions are really just a special case of a more general benefit of the platform in track and trace. And we have a big partner here who, I think, is very well equipped to deliver better on that than we can directly, and that's HP. And so we're doing all we can to help them to move into a pole position on serialization activities generally because it's quite synergistic strategically with their very strong position in digital printing. So I'm hoping those guys will be making more announcements than we are.
Unidentified Analyst: That’s great. Thanks for the time.
Operator: [Operator instructions] Our next question is from the line of Jeff Van Rhee. Please proceed.
Jeffrey Rhee: Thank you. Bruce, congrats on Wal-Mart.
Bruce Davis: Thanks, Jeff.
Jeffrey Rhee: So a couple of questions there. I think -- apologies, I'm jumping on late. I'm trying to catch up on some notes here, but it sounds like within that contract from Wal-Mart, there's the thermal side of things and then there's the private label and then there was also a CPG component that was discussed within the context of Wal-Mart. Can you just circle back to that and explain that a little further?
Bruce Davis: Sure, sure. So a number of leading suppliers to Wal-Mart have expressed interest in participating in early deployment to the shelf of products to learn about the mix of benefits that result to the retailer and to them. And so it's a voluntary participation in the program, and there's a growing number of companies participating and the growing number of SKUs being identified. And we view it as an onramp to production for the industry. It's a great platform for them to learn from and for their suppliers to develop the means to achieve scale in. So that's the purpose of the program. It's really intended to allow suppliers who are interested in being on the leading edge of this development in industry to get to the stores and to collaborate with the world's leading retailer on studying the effects of the platform in the retail environment.
Jeffrey Rhee: Okay. Got it. And then just working backward, just to be clear, did you delineate between the contract size here? Did you delineate the thermal label component versus the store brands? And what incrementally can you add about the progress on the private label there?
Bruce Davis: There's no delineation. And the private brand news is moving from pilot to production. They're moving to the production.
Jeffrey Rhee: Okay. Got it. And then just secondly, sort of curious, high level, when you think about -- I mean obviously, you're looking to tip an industry and redefine the way products are identified. And with Wal-Mart's power in clout, should they mandate or put -- exert pressure in their ecosystem to label all products using the Digimarc Barcode that has very viral effects industry-wide. To the extent that they deploy Digimarc primarily within thermal, it would seem to have less of that viral impact. It's sort of the beauty of thermal, right, that they control their own ecosystem, the scales and the printers. And so it's easier for them to force that to happen whereas somehow mandating the industry adopt does have broader sort of viral implications. Can you just discuss sort of the balance of those two and what pressure you think this exerts on the industry, specifically around using the Barcode for product labeling?
Bruce Davis: Well, first of all with respect to fresh product labels, I've long tried to help everyone appreciate that, I think, that can move faster than packaging. And so your comments there are all well taken. Yes, it's more under the control of the retailer. It has some additional party's printer but we're now working with the printers now for some time. You've seen that in our trade shows. So we'll move along with fresh product labels but the big news there is the progress that we've made in coming up with some really remarkable technological advancements in addition to the original promises of that product offering. With respect to private brand and national brands, private brands compete with national brands and so we will do our best work for all private brand suppliers and retailers in the industry to highlight the advantages of adoption of our platform. And if you then keep in mind the nature of the multisided platform and cross-side network effects, what that means then is that in the relationship between the retailer and the national brand, less consideration is required to induce participation by the national brands to the extent they suffer from competitive pressure from private brands. So private brands should, in my view, strategically be leading the industry here. We've obviously got national brands involved significantly already. But in my theorizing about that, that would have been the case, but it's still true. And so the fact that Wal-Mart is going to production with their private brands is a wake-up call for the national brands and for other private brands in the industry. So we will continue our focus on private brands and encourage them to adopt early and adopt big. With respect to the relationship between Wal-Mart and its suppliers, we're not advocating any kind of influence and certainly no mandate. What we're doing instead is increasing the amount of value the platform delivers to the CPG independent of its relationship with its trading partners. In terms of track and trace, manufacturing quality, recycling, consumer engagement; by doing that in the platform model, then the CPGs may want to do it just for those reasons, in which case then, there is no need for anybody to issue any mandates or any preferences or any pressure. That's our ideal. Our ideal is that all of the participants are going to receive significant value that justifies the costs and thus, will move to the new platform replacing the old visible symbiotics [ph]. So that's -- not that some poly owner should not -- obviously, trading partners are very important for all companies. And so I would expect here that being given the opportunity to perform on the world's largest retail stage, then that will cause the industry to look more carefully at what our platform has to offer. But I think when they do, they're not going to need much persuasion from the trading partners. They're going to do it because they know it's good for them.
Jeffrey Rhee: Got it. Okay. And then lastly for me, in terms of -- it sounds like a full dive into the pool for thermal across the entire footprint of Wal-Mart. When -- how does this work in terms of getting turned on at the registers versus potentially marking product, including specifically the thermal but other products? Obviously, Wal-Mart talks a lot about their adoption of Bossa Nova in the aisles to automate scanning. Each so clearly marked product would have benefits in that respect without getting turned on at the register. So any color as to when this might actually get turned on at the register in the sense that, clearly, the data value of going through that big of a footprint would be, I would assume very, very interesting in terms of demonstrating the IPM improvements you've long sought to prove with a great data set.
Bruce Davis: Yes. I've said previously and I think it's in the CMD [ph] deck, that the front store's already turned on. So there's no wait at all. All sort of have done. Check mark there. As for the rest of the implementation details, Wal-Mart will disclose that when they want to and how they want to, including telling me it's okay for me to say. But right now, I don't have permission to do that.
Jeffrey Rhee: I'm sorry, you don't have permission for what?
Bruce Davis: To describe details of implementation.
Jeffrey Rhee: Okay. And so -- and lastly, just on that data then, I mean at what point do you have an adequate data set to really get those studies? To the final question I just posed, when do you get that data set? Is that part of the discussion?
Bruce Davis: That will grow in a continuous fashion over time, without getting into the nuances of statistical analysis and confidence levels here, more is better. And I don't know that anybody really needs convincing. Justice is one of the ironies of some of the people who try to make up stupid negative cases. It's intuitively obvious that our platform allows for faster easier checkout and better data. It's impossible for that not to be true. So we will do statistical analysis because it helps us to improve our product, and it helps to improve the business processes of our customers and their suppliers. So we'll do all of those studies. But no one's waiting for a proof. Wal-Mart is not waiting for a proof here. They're going. That's the point of the announcement. We've been spending 4 years making proofs. We're tired of making proofs. It's time to just get going.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Bruce Davis. Sir, please proceed.
Bruce Davis: All right. Thanks, everyone, for participating today and for your support, and it's a great day for all of us. We're moving onto the next level here, and we will keep you all informed. And as always, we'll do our best work and be responsible stewards of your capital. So thank you very much for your support, and we look forward to talking to you again soon.
Operator: This concludes today's call. Thank you, ladies and gentlemen, for joining us today for our presentation. You may now disconnect.